Operator: Good day, ladies and gentlemen and welcome to the Urban Outfitters Inc. Third Quarter Fiscal 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would like to introduce Oona McCullough, Director of Investor Relations. Ms. McCullough, you may begin.
Oona McCullough: Good afternoon and welcome to the URBN third quarter fiscal 2018 conference call. Earlier this afternoon, the Company issued a press release outlining the financial and operating results for the three and nine months period ending October 31, 2017. The following discussions may include forward-looking statements. Please note that actual results may differ materially from those statements. Additional information concerning factors that could cause actual results to differ materially from projected results is contained in the Company’s filings with the Securities and Exchange Commission. We will begin today's call with Frank Conforti, our Chief Financial Officer, who will provide financial highlights for the quarter. Sheila Harrington, President, Free People brand, David McCreight, President of URBN and CEO of the Anthropologie Group and Trish Donnelly, Global CEO, Urban Outfitters Group will provide an update on their respective brands. And Richard Hayne, our Chief Executive Officer, will then comment on our broader strategic initiatives. Following that, we will be pleased to address your questions. As usual, the text of today’s conference call will be posted to our corporate website at www.urbn.com. I will now turn the call over to Frank.
Frank Conforti: Thank you, Oona and good afternoon everyone. I will start my prepared commentary discussing our recently completed fiscal year 2018 third quarter results versus the prior comparable quarter. Then I will share some of our thoughts concerning the fourth quarter of fiscal year 2018. Total company or URBN sales for the third quarter of fiscal 2018 increased 4% versus the prior year. The increase in sales resulted from a 1% URBN retail segment comp, a 9% increase in Free People wholesale sales, and a $14 million increase in non-comp sales. URBN retail segment comp for the quarter, adjusted for the impact of the hurricanes, was 2% Within our URBN Retail segment comp, the direct-to-consumer channel continued to outperform our store channel, driven by increases in sessions and conversion rate, which more than offset a small decrease in average order value. Negative comp store sales resulted from declines in transactions, average unit selling price, and units per transaction. Store traffic for the quarter was up with strong growth in our European market. By brand, our Retail segment adjusted comp rate was positive at all three brands with increases of 5% at Free People, 2% at Anthropologie, and 1% at Urban Outfitters. These comps have been adjusted for the two hurricanes experienced in the quarter. The adjustment represents approximately two-thirds of a point at each of our brands. Our URBN Retail segment comp improved sequentially throughout the quarter with both September and October being comp positive months. During the third quarter, we opened four new store locations, two Anthropologie locations in North America, and two Free People locations in North America. Moving on to the Wholesale segment. The Free People Wholesale segment sales increase of 9% for the quarter was driven by Domestic and International growth in department stores, specialty stores, and direct-to-consumer. We believe Free People Wholesale has the opportunity to continue to grow domestically through category expansion and internationally within all categories. We are planning similar growth in the fourth quarter of 2018. Additionally, we delivered our first Anthropologie Home wholesale order in the UK. We believe Anthropologie wholesale of the Home category has strong opportunities to grow with key partners in Europe, as well as in North America and we are excited to have completed their launch into this new channel of distribution for the brand. Now moving on to URBN gross profit for the quarter. Gross profit decreased 1% to $298 million versus the prior comparable quarter. Gross profit rate declined by 142 basis points to 33.4%. The decline in gross profit rate was primarily driven by the leverage in delivery and logistics expense due to increased penetration of the direct-to-consumer channel, higher International penetration, and increased furniture penetration. Total SG&A expenses for the quarter were down 2% to $225 million versus the prior comparable quarter. Total SG&A as a percentage of sales leveraged by 143 basis points to 25.2%. The leverage in SG&A rate was primarily due to savings associated with our store organization project and lower share-based compensation expense. These reductions were partially offset by increased investments in marketing expenditures to drive sales. Operating income for the quarter increased by 4% to $73 million with operating profit margin flat at 8.2%. Our effective tax rate for the quarter came in at 37.4% versus 33.5% in Q3 last year. The variance in quarterly rate is primarily due to the ratio of certain forward profits and losses to global tax profits in those periods. Net income for the quarter was $45 million or $0.41 per diluted share. Now turning to the balance sheet. URBN inventory was down 1% versus the prior year to $450 million. Retail segment comp inventory decreased by 1% at cost. We ended the quarter with $369 million in cash and marketable securities and zero drawn down on our asset-backed line of credit facilities. During the quarter, the company repurchased and retired 3 million common shares for $66 million. This brings our fiscal year 2018 buyback total to 8 million shares for $157 million. Capital expenditures came in at $20 million for the quarter, $63 million year-to-date, and we are planning for $90 million in total CapEx for fiscal year 2018. The capital spend for fiscal 2018 is primarily driven by new, relocated, and expanded stores following by investments in the direct-to-consumer related technology. As we enter the fourth quarter of fiscal year 2018, it may be helpful for you to consider the following. We are planning on opening one net new store during the fourth quarter. This will result in 19 new stores opened for the year, and eight store closures. For brand level store information, please see our financial metrics sheet posted to our URBN website. Now moving on to gross profit. We believe that gross margin rate for the fourth quarter could decline on a year-over-year basis, primarily due to deleverage in delivery and logistics expense, primarily due to the increased penetration of the direct-to-consumer channel. However, we believe the decline in gross margin rate could be lower than what we saw in the third quarter due to store occupancy leverage and lower markdowns if our positive sales performance continues throughout the quarter. Additionally, we believe gross profit dollars could increase on a year-over-year basis if sales growth from the third quarter continues to improve throughout the fourth quarter. Please keep in mind, the holiday selling period has been difficult to predict over the last several years, this is only our current view. Based on our current plan, we believe SG&A could increase by approximately 4% for the fourth quarter. This increase could relate primarily to increased digital marketing investments to drive stronger top-line sales growth. As we believe the brands’ product offerings are improving, we believe there is an opportunity to increase our marketing investments to hopefully help drive an improving sales growth rate in the fourth quarter. Finally, our fourth quarter effective tax rate is planned to be approximately 32.3%, which would result in our annual effective tax rate at approximately 36%. As a reminder, the foregoing does not constitute a forecast but it’s simply a reflection of our current view. The company disclaims any obligation to update forward-looking statements. Now it is my pleasure to pass the call over to Sheila Harrington, Free People brand President. 
Sheila Harrington: Thank you, Frank and good afternoon. I am thrilled to report that Free People brand delivered 8% sales growth in the third quarter. This top-line sales growth was coupled with expanded margins leading to stronger growth in operating income for the brand. By channel, Wholesale delivered 9% growth driven by strong increases in specialty accounts. I would like to thank Krissy and her team for their continued strong performance. The Retail segment increased by 7% in total with a 5% adjusted Retail segment comp, Free People’s strongest Retail segment comp this year. The Retail segment comp benefited from strong double-digit increase in Digital. This marks the fourth consecutive quarter, the brand achieved a positive Retail segment comp and reflects an even more and reflects even more distortion by channel with over 50% of our Retail segment revenue now coming from Digital. Due to our recent re-platform and centralized digital team, we are excited by the new opportunities to continue to evolve her online experience. Additionally, during the quarter, we opened two new stores and ended the quarter with 132 doors. The brand is well positioned to continue to learn and react to our omnichannel opportunity as customer behavior continues to evolve. In both the Retail segment and Wholesale, the brand continued to experience strong total and regular price growth in apparel, particularly in our bottoms classification. Also worth noting, our Intimates and Shoe business showed strong growth within Wholesale, and tremendous improvement in the Retail segment, compared to the trend earlier this year. In September, the brand creative teams partnered with Vogue to develop the Coat Check video marketing campaign combining strong product imagery and cleverness associated with both brands. This collaboration was the first of its kinds for the brands and we are committed to continue to find new and creative ways to speak with our customer and reach new customers. While we were pleased with the current results, the progress achieved on our long-term initiatives is even more exciting. First amongst these is the expansion of FP Movement which represented over 11% of the brand’s growth for the quarter. FP Movement grew 36% on a year-over-year basis. The growth is supported by 21 physical locations, 19 within existing Free People stores and two free standing pop up shops and comp stores within FP Movement assortment, the category delivered double-digit increases and the total store comp exceeded the fleet average by over 300 basis points reflecting the healthy development of this concept. We continue to invest in the initiatives to build FP brand awareness such as the collaboration with strong partners like Well and Good. We believe FP Movement has continued opportunity to help the brand grow and will continue to invest. Moving on to international expansion. Free People delivered 26% growth in the brand’s international business, driven by both Wholesale and Digital. Wholesale experienced strong growth in Europe with existing accounts, as well as a new partnership with a French distributor. In the fourth quarter, the teams have secured additional partnerships in both Spain and Italy and we expect these to benefit sales next year. International Digital growth was driven by strength in Europe and China. In Europe, the brand began fulfilling orders to our UK customers from our Rushden fulfillment center for the first time. This will enable us to shorten delivery times and provide better communication to our local customers. We do expect this will further enhance the customers’ experience and loyalty to the brand over time. I am extremely proud of the team’s results, and the current momentum entering the fourth quarter, as well as the progress we have made on our longer term strategic initiatives. We are optimistic that the strength of the brand experienced in the third quarter will continue throughout the fourth quarter, but remain aware of the unpredictability of the holiday season over the last several years. I would like to thank Meg and the entire Free People team for a great quarter. Thank you, and I will now turn the call over to David McCreight.
David McCreight: Thank you, Sheila, and good evening everyone. I am pleased to provide you with an update on our progress within the Anthropologie Group. As we mentioned on our last call in August, we were seeing early signs of improvement in North America in our fall product reads. I am happy to report that during the quarter we did indeed see a change in our business trajectory. The Anthro Group retail segment comp sales improved in the third quarter to a plus 2% comp, a 600 basis point improvement from Q2’s minus 4% comp. The trend improvement in North America was broadly based across expanded categories and apparel divisions in both selling channels, and importantly, comp sales quality also improved with regular price comps outpacing markdowns. The direct-to-consumer channel had another strong quarter of double-digit growth. Momentum in this channel was driven by improved digital marketing effectiveness, a broader assortment that we continue to expand and creative assets that increasingly market the lifestyle experience. The Anthro Loyalty member path to free shipping significantly increased new signups and overall Digital customer counts. Also lifting average transaction value with more units in Her basket. We continue to invest in our digital shopping brand experience and the data analytics that power best-in-class digital merchants. Last August, we mentioned seeing traffic in our North American stores stabilizing. Store sales did indeed improve across the quarter, with a majority of our stores delivering a positive comp in the month of October. This was the first full quarter with our new field structure. The structure was designed to improve back-of-house and scheduling efficiencies while protecting the customers’ experience and delivering more consistent merchandising messages. We continue to evolve the omni-channel shopping experience through buy-online and pick-up in store, as well as mobile ordering of items in store that are not in stock. With new efficiencies and the aid of technology, Anthropologie continues to provide one of the more unique and compelling retail shopping experiences and this is never more proudly on display than in the holiday season. From a product perspective, our expanded categories continued their strong comp growth rate in Q3 led by home décor, as well as women’s accessories and beauty. Anthropologie Home delivered their first wholesale assortment in the UK, where it far exceeded expectations. While we have become accustomed to Andrew’s successes in home décor, the exciting news within the Anthro group’s Q3 comp growth was the change in our apparel trajectory. As we have spoken of previously, the majority of our revenue decline in recent periods was due to the execution of apparel. In a short period of time, Hillary and the apparel team focused the offer on the separates trend that echoes much of what is happening across the fashion industry. They also concentrated on delivering more color, pattern, and special details with a touch of hand for which Anthro is known. In addition to the improved sales trajectory, feedback from listening posts in the field, social channel chatter, and online commentary indicate that customers and associates are increasingly enthusiastic about our offer. This revenue momentum has continued into November, and when combined with a shift in fashion, could create conditions for a promising holiday season. Turning to product margins, Q3 merchandise margin rates were flat to last year, and were comprised of a reduction in markdowns offset by lower initial margins due to both lower penetration of own-brand apparel and category sales mix. We anticipate higher market penetration in apparel to continue into Q4 and early spring, as the newer merchant and design teams gain a better understanding of how to interpret the new fashion trends for our customer. However, we expect own-brand apparel penetration to begin rebuilding by early summer of next year. With apparel showing new signs of health and continued momentum in the expanded categories, we can begin leveraging product strength to fuel strategic digital and international expansion initiatives and re-accelerate Anthropologie’s growth. In advance of the busy holiday season, I would like to thank the many Anthropologie brand fans and associates working tirelessly to delight Her every day. Thank you. And I would now like to turn the call over to Trish Donnelly.
Trish Donnelly: Thank you, David, and good afternoon everyone. Fourteen weeks ago, on our last earnings call, I delivered the news that the Urban Outfitters brand had posted a negative 8% global comparable sales rate for the quarter. I recognized product misses, particularly in our women’s category, as well as some styling and brand marketing issues, which had not resonated with our core customer. I also noted that we implemented a new speed-to-customer model during the quarter. This new model was designed to shorten our product lead times in order to get the right product in the right place at the right time. The creation, rollout and implementation of the speed-to-customer model during the quarter was distracting and disruptive to the business and another factor in the top-line softness we saw in Q2. What a difference fourteen weeks make. I am proud to report Urban Outfitters’ positive 1% adjusted comparable sales achievement for the third quarter. In a short time, with our new business model as the foundation, the team was able to react to shifts in trends and categories to dramatically swing the business nine comp points in one quarter. Of course, a business can’t shift so drastically on a new business architecture alone. The design and the merchant teams are once again creating relevant product that our customer is loving, and our brand marketing team is supporting the business with compelling and creative campaigns. For Q3, Urban Outfitters delivered positive comp performance in both the women’s and men’s apparel categories, globally. Apparel is having a very exciting moment, given the shifts in proportion, resurgence in prints and a strong cycle in bottoms. Customer reaction to newness and emerging ideas is strong and almost every sensibility is showing product opportunity. Early signs point to this trend continuing in both women’s and men’s as we move through Q4. In Q3, the total global business saw a 24% increase in new customers over last year with new Men’s customers outpacing the total. Our UO Rewards membership picked up 60% and engagement continues to grow. Direct-to-consumer demand posted strong comparable sales in both North America and Europe, with both geographies seeing impressive year-over-year conversion rates. Although the retail store channel in North America remained negative in the quarter, it did show very nice comparable sales improvement versus the second quarter performance and the stores in Europe continued to drive high single-digit increases in traffic comps and positive sales comps to last year. Social engagement was another highlight this past quarter. Our global Instagram following was just shy of 8 million and our 95 Instagram stories had over 30 million views. One of our most successful campaigns of the quarter was our What Do You Champion? partnership with the Champion brand, where we featured five up-and-coming celebrities and musicians. We saw more than half a million social engagements tied to the video and 2.3 million views. We also partnered with the ride-sharing app Lyft to provide free rides to UO Home shoppers during the critical back-to-school shopping period. This partnership received 1.1 million organic Twitter impressions. And finally, within UO Community Cares, we partnered with girl group Fifth Harmony on VH- 1’s Save the Music foundation. According to Listen First Media tracker, the tweet announcing the UO x Fifth Harmony collaboration was deemed the number one post on Twitter during the campaign window. The improvement in the business from Q2 to Q3 was exceptional. The nine-point comp swing would not have happened without the incredible talent, energy and commitment of the UO Leadership Team, as well as the entire field team, home office organization, and shared services partners. Meg and I would particularly like to recognize Sue, Gaby, Lauren, Colby and Keith on the North America side of the business, and Emma and Claire on the European side. We truly value you and your teams’ impressive contributions, your passionate work ethic and love for our customer. Thank you. I will now turn the call over to Dick.
Richard Hayne: Thank you, Trish, and good afternoon everyone. Congratulations to our brand leaders, to Meg and to their teams for delivering exceptional improvement in third quarter comp sales. When I spoke on this call three months ago, I voiced my disappointment in our second quarter results and stated the sales shortfall came primarily from our lack of execution rather than macro headwinds. I expressed confidence there was sufficient fashion newness to drive positive comp sales. Today, I am pleased to report that all brands executed well in Q3. They exceeded the expectations I had when entering the quarter, with each delivering positive Retail segment comps and in North America, sequential month-over-month comp sales improvement. In addition to the Retail segments, Free People wholesale produced another fabulous quarter. Two major trends drove the improvement, one old and one new. The first was the continuing strength of our Digital results where each brand produced an excellent, double-digit sales increase. Digital penetration grew by over 400 basis points in the quarter and eclipsed our previous high recorded in Q4 last year. October Digital sales were especially robust; each brand produced a year-over-year increase in excess of 20%. As we enter the holiday season this year, we are planning for Digital penetration to grow even further. It should be noted that during the quarter we also saw improvement in North American store traffic and less negative comp store sales than in the previous quarter. In Europe, both store traffic and sales remained strongly positive on a comp basis. The second and emerging trend across all brands was a revival in customer interest in fashion apparel. Quite simply, fashion is back and it’s selling. Demand for apparel driven partially by the shift in silhouette that I’ve alluded to in previous commentaries, finally gained traction in North America during the quarter. Regular price sales of women’s apparel was positive at each brand led by Urban Outfitters with the European group’s sales being especially powerful. As Trish noted in her commentary, our merchants were able to read and react to the demand because of improvements we’ve made in our speed-to-customer capabilities. I believe these competencies, which we are still refining and implementing, will become increasingly important as the customer demands more newness and fashion trends have quicker adoption rates and shorter life cycles because of social media use. Based on the positive response to our current fashion offerings combined with our improved ability to execute looks more quickly, I’m optimistic that our merchants will be able to deliver compelling fashion through the holiday season and well into next year. We are excited by the top-line potential created by the confluence of these two trends. To capitalize on this potential, all brands will invest more in digital marketing during the holiday period when online traffic peaks. Our primary goal, of course, is to drive sales, but the spend will also target customer acquisition and retention. While the ascent of Digital within the omni-channel retail world can drive increased sales as it did for URBN in Q3, it can also have a negative impact on our financial model, including causing store occupancy de-leverage, increased variable expenses in delivery and marketing, and significantly higher investments in technology. These additional expenditures are necessary to drive sales and grow share but can result in operating margin erosion. The question then is what can be done to offset some of these additional costs? In the short-term, I believe our biggest opportunity is to reduce markdowns. Our speed-to-customer initiative, coupled with tight inventory control and adoption of new demand and allocation forecasting tools could afford us the opportunity to reduce total markdowns by several hundred basis points. Furthermore, now that demand for apparel is trending higher, we also have an opportunity to produce better Retail segment comps, which would help leverage all fixed and semi-fixed costs. Longer-term, as our brands continue to expand internationally through a combination of owner/operated, joint-venture, franchise and wholesale operations, I believe we will have the opportunity to leverage larger product buys to negotiate better cost prices, which should allow for increased IMU. I also believe over time, we will see North American store rents adjust to the new omnichannel realities after which, comp store occupancy costs should begin to stabilize. If executed well, these short and longer-term opportunities could help offset the additional expenses listed earlier. I believe our brands and our Company are very well positioned to adapt to the changing retail environment and succeed in the marketplace. We have no debt, we have expanded cautiously and today, each brand operates a conservatively-sized fleet of stores in North America. Our Digital penetration is high and growing quickly. We operate three powerful brands, each of which possesses a proven ability to create unique, compelling products and experiences, and most importantly, I believe we have some of the best talent in the industry. Before I close, I do want to say a few words about the holiday season. We all know this time of year has become highly promotional and somewhat unpredictable. We have no reason to believe this year will be different from a macro perspective. Having said that, we also know our three brands gained significant momentum as the third quarter progressed and this momentum has continued in November to-date. We believe our brands are better positioned for holiday this, versus last year, with fresher inventory, more giftable items, a plan to spend more on marketing and the benefit of renewed consumer interest in apparel. So, as I write these words, our outlook for URBN in Q4 remains cautiously optimistic. In closing, I thank David, Trish, Sheila, Meg, our shared service leaders, and our 24,000 associates worldwide for their inspiring dedication, drive and creativity. I also recognize and thank our many partners around the world, and finally, I thank our shareholders for their continued support. That concludes my prepared remarks. I now turn the call over for your questions. 
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Adrienne Yih of Wolfe Research. Please go ahead. Your line is open.
Adrienne Yih : Thank you. Good afternoon and congratulations everyone. 
Richard Hayne: Thanks Adrienne.
Adrienne Yih : You are welcome. Dick, your comment on, what you just said about the deleverage phenomenon from brick and mortar as you move to online in the DTC. Can you talk more about the gross margin pressure, but it used to be that you ran gross margin pressure and then the operating margin, operating profit, I guess the profit dollars and the rate were actually accretive to overall margins. So what would have to happen? What level of store traffic or comp would you need to get to, to basically breakeven on that fixed cost component? Thank you.
Frank Conforti: Hi, Adrienne. This is Frank. 
Adrienne Yih : Hey, Frank.
Frank Conforti: I’ll have to take that and I’ll tell you that, this is something that we look at quite frankly on a pretty regular basis right now, and it’s hard for us to give specifics on the model because we are experiencing so much change as it relates to the penetration of stores and direct-to-consumer. Right now, our penetration is moving to our highest growth channels and segments around Digital and Wholesale; and obviously, this can clearly have a positive impact on our top-line growth rate. The pace of the change right now to the Digital channel has been pretty dramatic. As seen in the quarter, our penetration to the Digital channel grew by over 400 basis points just in this quarter, and we would anticipate that to be pretty consistent if not even accelerate in the upcoming fourth quarter. The difficulty though as it relates to the overall financial model is knowing exactly where the penetration lands and even more importantly the composition of how we get there. There is a very different financial impact depending on where stores and DTC are and how they make up the composition of the growth rate that’s driven in any given point in time. What we do know is that, we can improve our operating profit dollars as we continue to grow the business, but committing to an exact rate right now is just – is something that’s very hard to do. I think the short-term opportunity for us as we think about next year and then I’ll talk a little bit more about the longer-term opportunity, quite frankly, it’s just markdowns. I think both Anthropologie first and then Urban Outfitters have nice opportunity to improve their profit margins and their gross margins in their business just getting back to where they have historically run their businesses at averages and some of which from a markdown path. That doesn’t take into account some of the initiatives that we are working on where we believe we can actually move past some of those historical benchmarks. As it relates to the longer-term, Dick did mention several initiatives that we have in place and several opportunities and levers that we have in place to improve our overall profit margin. One is markdown reduction. There are several things that we are doing around markdowns specifically around the speed-to-customer initiative that Urban has certainly led the way on, things that we are doing around data analytics to be smarter about how informed we are about our buy, as well as the allocation of our buy. There are things that we are doing around increasing the volume of purchases through just the businesses growing where we can get to IMU improvement and there is other opportunities within the business as well. So, I know it’s a rather long-winded answer, because it is a question that we know is on everybody’s mind as it relates to the model, and I think the important point is, we do think we can flow through bottom-line operating profit dollars as time goes on. The near-term – the biggest opportunity is markdowns at both Anthropologie and then followed by Urban Outfitters. And over the longer-term, I think it will depend just exactly where the composition of stores and DTC lands, but there are several initiatives and I think opportunity levers that we have that we believe that we can flow through better to the bottom-line. 
Operator: Your next question comes from the line of Kimberly Greenberger of Morgan Stanley. Please go ahead. Your line is open.
Kimberly Greenberger : Great, thank you. Wow, what a difference three months make. I wanted to ask about gross margin if I could. Frank, if you could help us understand the order of magnitude of each of the three contributing factors in the gross margin decline, that would be helpful. And then, Dick, I think you said, full price comps were up and I wasn’t sure if that was all brands. I am just trying to understand within the gross margin, how merchandise margin is performing, and AUR, I think you said was down. It doesn’t sound like that is driven by markdowns, perhaps mix, but if you could just speak to the various moving pieces in gross margin, that would be great.
Frank Conforti: Hi, Kimberly, this is Frank. So, I’ll take as many of those as I can work through and remember. So, as it relates to the third quarter margin, quite frankly, the lion’s share of the deleverage that occurred was all due to delivery and logistics, and that was largely driven by the increased penetration of the direct-to-consumer channel. I think what you are referencing is essentially, why did margin not perform better due to the fact that we did perform better from a top-line perspective than we had anticipated coming into the quarter, and the truth of the matter there is, we didn’t get the leverage that we could have from a markdowns perspective and that was due to two things. One, we had to go deeper in markdowns for product that was not working. So, don’t think of this as a breadth issue, the number of units we marked down in the quarter was actually lower. But the depth that we had to go to on those units in order to get them to move and get them out of the assortments was bigger than what we had anticipated. In addition to that, there was two categories hurting the Urban Outfitters brand a bit in the quarter which we did anticipate coming in. One was shoes and one was women’s accessories. Both had higher markdown rates in the quarter and drove some challenges there on the markdown rate for Urban Outfitters brand within the quarter.
Operator: Your next question comes from the line of Paul Lejuez of Citigroup. Please go ahead. Your line is open.
Paul Lejuez: Hey guys, thanks. Frank, any initial thoughts on CapEx for next year after a bit of a lower CapEx number this year? And Dick, just curious as you think about the mix of e-com and stores. What penetration do you have kind of in your mind where you might see EBIT margin more consistently up on a year-over-year basis and I guess, any early thoughts how we should think about next year’s EBIT margin? Thanks. 
Frank Conforti: So, Paul, as it relates to the CapEx, there is really nothing large around the corner for next year that we see and we currently anticipate that we would think we will see an acceleration in CapEx. So, we don’t have our final numbers in our budget completely put together yet. But I’d imagine to be relatively in line with what we see this year. And I think as it relates to EBIT margin, as I mentioned earlier, I do think the biggest opportunity for the near term is for first Anthropologie and the next Urban Outfitters to recover back to where they’ve been from a markdown rate perspective and if they are able to do so, they are certainly able to help offset some of the channel shifts deleverage points around deleverage and occupancy and flow through some EBIT dollars to the bottom-line. 
Richard Hayne: Yes, Paul, this is Dick. I think it was four years ago, I predicted that direct penetration would reach about 50% within five years and I think I am going to be off by about a year and I think that that’s probably the point where we start to see some leverage. So, I don’t know that will go beyond 50%. I can’t really speak to that. I know that stores are still very important and I know that the direct channel and the omnichannel combination is what’s driving the customer. But I do believe that we will get to the 50% in the next couple of years and I do believe that we will see some of the improvement in income as a result.
Operator: Your next question comes from the line of Lorraine Hutchinson of Bank of America. Please go ahead. Your line is open.
Lorraine Hutchinson : Thank you. Good afternoon. Last year, you were a bit coast guard by the increasing penetration of DTC during the quarter. As we think about planning inventory for the holiday season, have you contemplated an accelerating penetration increase in DTC?
Frank Conforti: Hi, Lorraine, this is Frank again. So, I would tell you two things. One, we have certainly contemplated an increase in DTC penetration for the quarter. Two, I will tell you each of the brands have further rolled out shared inventory concepts whereas we are holding back inventory in our distribution center from stores of the initial size of what we used to initially allocate and reallocating later. So, if the demand even if we were off from a forecast perspective and shift between the two channels differently than we originally planned it, we do have the opportunity now through shared inventory and a replenishment strategy to react in a kind of a more fluid and real-time perspective than we did going into the quarter last year. 
Operator: Your next question comes from the line of Lindsay Drucker Mann of Goldman Sachs. Please go ahead. Your line is open.
Lindsay Drucker Mann : Thanks, good evening. I was curious as you guys think about SG&A, this year was a nice SG&A savings year due to some efficiency programs you’ve put in place. Historically, the company has grown SG&A at a faster rate. It sounds like you are excited about investing and marketing in other top-line driving initiatives. Can you give us, just kind of a general framework to think about SG&A dollar growth for the medium-term?
Frank Conforti: Hi, Lindsay, this is Frank. So, I’ll tell you, as it relates to SG&A for next year, I think we’ll give a little bit more of an update as we get through the quarter. Obviously, as we mentioned, we are testing some increased marketing spend here in the fourth quarter which wasn’t originally in our plan. We certainly think that is very prudent to do so given some of the improvements that each of the brands have seen in the assortment and the overall improvement that we think we’ve seen in how the consumer is behaving. That being said, it is just a test and the types of investments that we are making, these are – this is not a capital spend, it’s not leases, and it’s not people. This is one of the benefits of marketing spend, is that it can be measured on a very, very short-term basis and you can react in a pretty quick manner as to whether or not it’s being successful or not. So I think we are going to take some of the learnings from that test in the fourth quarter and that will help to inform next year relative to SG&A. But I think, generally speaking, we would look to keep that in line and then hopefully leverage that from a sales perspective.
Operator: Your next question comes from the line of Janet Kloppenburg of JJK Research. Please go ahead. Your line is open.
Janet Kloppenburg : Hi everyone. Congratulations on the great results.
Frank Conforti: Thank you, Janet.
Janet Kloppenburg : I had a question about your promotional strategy and your value messaging. Clearly, I don’t think that you promoted more than you expected to in the quarter. But I felt that your messaging on value was stronger than it’s been in a while with what looks like the lot of planned category promotions, particularly over the weekends. I was wondering if you could talk a little bit about your strategy there and what you think the customer wants in order to drive traffic through both channels. Thanks so much.
Richard Hayne: Okay, Janet. Before I – after I answer what I have to say, I am going to turn it over to Trish, because I think some of what you are talking about was at the Urban brand. I think in general what was – I think what we are seeing in general is customer is very – is still very interested in value and that value can be created by fashion and we have plenty of that going on right now and it can also be created by price and a combination of the two. We don’t think that, as Frank talked about before, that she is solely interested in price, because our markdowns as Frank said needed extra markdown in order to move. But where we see a lot of resonance with our customer is when we are promoting and giving good sharp prices for value items and fashion items. And so, I am going to turn it over to Trish and let her talk about that a little more. 
Trish Donnelly: Hi, Janet. Thank you, actually for notifying that. We are so much more strategic about our promotional strategy and our value messaging than we may have been in the past. And just further to what Dick said, value messaging is not – it’s not just discounting, it’s finding great items at a great price. So, we are really, really happy with our pant assortment and we got a great $39 pant. We are proud to talk about that’s a great value price. So, just being able to communicate those kinds of things, more clearly to customer has really helped to turn around this past quarter. So, thanks.
Operator: Your next question comes from the line of Matthew Boss of JPMorgan. Please go ahead. Your line is open.
Matthew Boss : Thanks. Frank, as we think multi-year, gross margins stand 500 basis points below 2013. I guess, how much of this do you believe was company-specific execution, versus how much of it was structural industry headwinds? I guess, what I am really trying to do is size up the recapture opportunity at each of your brands.
Frank Conforti: Hi, Matt. So, this is Frank. As I said, I think, for the near-term, certainly the biggest opportunity is around execution of the brands and I’ll start with Anthropologie from a markdown read and then to a lesser extent the Urban Outfitters brand. I think they both have healthy margin recapture opportunity next year as it relates to improving the execution of their assortment, which hopefully translate and should translate to lower markdown rates and overall operating profit. Over the longer-term, and what we’ve experienced over the last several years and we would anticipate to experience over the next several years as well, there will still continue to be the model shift that we are working through and we are going to actively manage the rest of the opportunities there to try and add as much to the bottom-line as we possibly can. 
Operator: Your next question comes from the line of Brian Tunick of RBC Capital. Please go ahead. Your line is open.
Brian Tunick : Great. Thanks. I’ll add my congrats as well to everyone. I guess, Frank, sure, maybe Frank, do you want to maybe talk about what kind of maybe MMU expectation you have in your fourth quarter guidance versus the MMU in the third quarter, just in light of your comments on the improving trends in the business, but also understanding the holiday promotional space. So just curious what your MMU view is in Q4 versus Q3 and maybe Trish can talk about on the Speed-to-customer initiatives, maybe what category she thinks still have the biggest opportunity or sort of what as we look into early part of next year she is looking to buy. Thanks very much. 
Frank Conforti: Hi, Brian, this is Frank. As it relates to the fourth quarter, I think, right now, based on our current view, we do believe our margin rate could deleverage about half of what we saw in the third quarter. And that’s based on where sales trends are right now that deleverage would be driven largely by delivery and logistics expense. The reason we think that we can show that improvement, one is due to store occupancy leverage as the sales hopefully continue to be strong as well as due to a lower markdown rate in the fourth quarter if product continues to perform the way it is. So whereas in the third quarter, we saw MMU essentially flat or flattish. We do, right now, based on our current view are looking at the opportunity to have improved MMU due to a lower markdown rate in the fourth quarter. I’ll just throw out the holiday caveat though that, please just keep in mind right now that the holiday has been less than predictable over the last several years and obviously there are a lot of really important days and weeks ahead of us. But based on our current view on our current trends right now, we do believe that we can show MMU improvement in the fourth quarter and that would be due to lower markdown rates. 
Trish Donnelly: And Brian, hi, it’s Trish. In terms of the speed-to-customer model, we have been placing the majority of our receipts on a longer lead time and the new model has completely shifted to that. We still see enormous opportunity even within Women’s apparel. Again, this is still a very, very new concept. It’s still very much work in progress. So there is still even, in women’s apparel there is a lot more opportunity. We are on the same sort again with men’s apparel. We haven’t touched so many of the other product categories where we see this as an opportunity. So, I think you have some really nice upsize there.
Operator: Your next question comes from the line of Ike Boruchow of Wells Fargo. Please go ahead. Your line is open.
Ike Boruchow : Hi, let me add my congrats as well. A great quarter. So, just on the women’s bottoms business, can you maybe give more detail around what you are calling the resurgence there. I think it’s the first time in a long time you’ve called out bottoms as optimistically. Curious if you could just share what kind of opportunity there could be if in fact there is a shift back to fashion bottoms again after what feels like a few years high it is?
Richard Hayne: Yes, this is Dick. I think there is a lot of opportunity across almost all categories and I guess, I would say, the exception might be dresses. Even though we see the – one of these selling very well. So, think that separates us what’s really happening in the business right now and that’s again at the expense of some of the dresses, the one piece dressing that was selling. Those separates mean, bottoms are selling and there is a lot of different styles and a lot of different fabrications within the bottom category that are performing extremely well. I would expect since this is an area that She doesn’t have many in Her closet that should perform for a number of quarters. I think it’s the distinct change in silver wet, Trish called it proportion, it’s basically the same thing. And my experience over many, many years in this business is when a change of silver wet or proportion happens, it usually holds for anywhere between five and ten years. So, I think we have a lot of quarters in front of us. 
Ike Boruchow : Thank you.
Operator: Your next question comes from the line of Simeon Siegel of Nomura Instinet. Please go ahead. Your line is open.
Simeon Siegel : Thanks. Good afternoon guys and congrats on the progress. Can you talk about the international growth opportunity and maybe touch on the international margins? What are the gross and EBIT discrepancies between international and domestic and how do you view the mix shift impact going forward there? Thanks. 
Richard Hayne: Simeon, we have a lot of opportunity internationally. This is one of our big objectives over the next year, two years, three years. We think we have at least in Europe alone, at least 50% more stores that we can open and operate by ourselves. At the same time, we are trying to enter into franchise agreements. We’ve already entered into one, which is an agreement with a group in Israel to open stores in Israel and I think the first store is slated to be open next May or June. And we also are working with several other franchise groups in the Mideast and other places to enter into agreements for those areas as well. And we are also entering in – discussing entering into joint ventures in some areas. So, it’s basically all of the above and I want to include Wholesale in that, because one of the big pushes in growing the wholesale channel is international. So, when you take a look at our sales breakdown, North America accounts for over 80% of our sales and obviously you don’t have to get on the internet to find out the – it doesn’t account for 85% of the demand potential. So, we think we have enormous opportunity to grow internationally and we are doing so. 
Operator: Your next question comes from the line of Edward Yruma of KeyBanc Capital Markets. Please go ahead. Your line is open.
Edward Yruma : Hey, thanks for taking the question. Dick, you were kind of early in identifying opportunities around real estate. You indicated you are kind of making sure that lease terms are short and that you are starting to see revenue will get more favorable terms. I know you’ve cited there is a longer-term margin driver, but where are you in those discussions and has there been a change in the landlord community over the past six months? Thank you. 
Richard Hayne: Edward, yes, I think there has been change in the landlord community. I wouldn’t say that’s early over the last six months, but certainly over the last year, year-and-a-half. We see a lot more cooperation from our landlords. A lot more willingness to negotiate. They understand that the world is changing and they understand that they have to change. We are seeing anywhere from percentage rent deals all the way up to and then including no increases when we go back to our renewals. So, Ed, there is lot of space in between there I realize, but that is sort of the range of what we are seeing with our landlords currently. In some cases, what we see is, an ability to relocate and go with a different landlord in some of our areas and get much better deals and we are pursuing all of the avenues above, because one of our longer-term objectives is to bring down our store occupancy rate. Thanks. 
Operator: Your next question comes from the line of Omar Saad of Evercore ISI. Please go ahead. Your line is open.
Omar Saad : Thank you. It’s great to see all three brands kind of trending in the right direction at the same time. I wanted to ask you about social media. It seems like you guys have done some pretty interesting things of platforms like Instagram, and I know you can kind of see products there now and get directly linked if you want to buy them. How long have you guys been doing that? And what are you learning in that channel? And what are you learning from that function that people can kind of discover your products there now and get kind of good direct to buy from there, is that proving to be a meaningful new dynamic? Thanks. 
Trish Donnelly: Hi, Omar, it’s Trish. Yes, it’s something that we are testing. We are in very, very early days. It’s promising. You know, particularly for the Urban brands, our customer lives on social media. So, that presence is really critical. I don’t have a lot of detail that I can give you around it other than, yes we are finding it meaningful and yes, we will continue to test new strategies. 
Richard Hayne: Hi, Omar, this is Dick. I think what we are seeing is that, it’s really not driving a lot of sales just yet, but I think this is very, very early days and I would expect this to be a major strategy going forward. 
Operator: Your next question comes from the line of Marni Shapiro of The Retail Tracker. Please go ahead. Your line is open.
Marni Shapiro : Hey everybody, congratulations. Your stores and your social media has been outstanding. So, Dick, you alluded to the fact that the omnichannel customer is your best customer. So, I just like to zero in on that a little bit, can you talk about the penetration and the use of in-store pickup at Urban and Anthro? Is your customer using it? And what kind of attachment rate are you seeing to these orders? And just along those lines, are you seeing, like, what percentage of your customers are returning online purchases to stores, because I view that as an opportunity as well?
Richard Hayne: Yes, Marni, I don’t think that we are fully exploiting the opportunity of pickup in store. We have to do several other things. We are making some improvements to cite that will allow better use of that particular path. So, I think that, right now, I’d say that we are probably in the first or second inning of this. But we believe that, long-term that omnichannel experience is the one that she is going to trend toward and that’s the one that she is going to want to pursue. I don’t have the exact specifics. We can get back to you on those, the numbers that you ask for. But I think overall, I’d say, it’s something that we believe in strongly and that we are pursuing probably with some IT enhancements next year. 
Operator: Your next question comes from the line of Dana Telsey of The Telsey Advisory Group. Please go ahead. Your line is open.
Dana Telsey : Good afternoon everyone and congratulations on the improvement. As you talked about in the second quarter, with the adjustment in the operating model across concept, design, planning, merchandising and marketing.. 
Richard Hayne: Hello.
Dana Telsey : Hello.
Richard Hayne: You are going in and out, Dana.
Dana Telsey : Can you hear me better now?
Richard Hayne: Yes. 
Dana Telsey : Perfect. With the operating model adjustments that you made to Urban in the second quarter, where are you in that progress to Anthro and how do you see it the same or different on sales and margin impacts on Anthro? Thank you.
Frank Conforti: Dana, this is Frank, and I am assuming you are talking about our speed-to-customer initiatives that we are rolling out and that Urban Outfitters is currently working on and they are doing that within women’s apparel, primarily right now. But we believe, we certainly have the opportunity to do it in other categories and we do have the opportunity to roll that out to the Anthropologie in the future as well. But right now, the Urban Outfitters brand has been leading the charge on our speed-to-customer initiative.
Operator: Your last question comes from the line of Mark Altschwager of Baird. Please go ahead. Your line is open.
Mark Altschwager : Good afternoon. Thanks for taking the question. On the inventory side, just in the context of the improved demand backdrop, how are you feeling about your position there? Do you have the flexibility needed to chase into some of the trending categories? Any areas where you feel constrained and where would you expect to end the year for inventory? Thank you. 
Frank Conforti: Hi, Mark, this is Frank. And, we feel like inventory right now is managed pretty well heading into the fourth quarter and we don’t think that it will be an inhibitor from the opportunity that we have to accelerate our sales growth if the consumer is so cooperates. So, we do believe that it’s well controlled. It’s more current than it has been. We’ve been seeing that nice improvement on a year-over-year basis in managing our inventory and keeping it more current that it has been on a year-over-year basis. And we do believe we have enough inventory to support an even healthier growth rate in the fourth quarter. 
Richard Hayne: Okay. So, I think that concludes the questions. Now, this is the first for me because, nobody on the call ask about November trend today. So I am going to take the opportunity to just talk about this and I want everyone to know that so far in November, our total Retail segment comps are running ahead of Q3 rates. And I also think it’s noteworthy and you’ll be interested to know that we are also seeing a meaningful improvement in store traffic and in store sales from their Q3 trend. Again, I give all the disclaimers that Frank talk about around holiday, but I think it’s fair to say that the brand teams are feeling pretty optimistic and I believe the chances are good that this will turn out to be a strong holiday. So thank you very much for joining the call and I look forward to talking with you in three months from now. And I wish you all a happy Thanksgiving. 
Operator: This concludes today’s conference call. You may now disconnect.